Operator: Good afternoon and welcome to the A10 Networks’ Second Quarter 2016 Financial Results Conference Call. All participants will be in listen only mode. [Operator Instructions] after today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Maria Riley with Investor Relations. Please go ahead.
Maria Riley: Thank you all for joining us today. I am pleased to welcome you to A10 Networks’ second quarter 2016 financial results conference call. This call is being recorded and webcast live and maybe accessed for one year via the A10 Networks website, www.a10networks.com. Joining me today are A10’s Founder and CEO, Lee Chen; A10’s CFO, Greg Straughn; and our VP of Worldwide Sales, Ray Smets. Before we begin, I would like to remind you that shortly after the market closed today, A10 Networks issued a press release announcing its second quarter 2016 financial results. Additionally, A10 published a presentation along with its prepared comments for this call and supplemental trended financial statements. You may access the press release, presentation with prepared comments and trended financial statements on the Investor Relations section of the company’s website www.a10networks.com. During the course of today’s call, management will make forward-looking statements, including statements regarding our projections for our third quarter operating results, our expectations for future revenue growth, profitability and operating margin, expectations of customer buying patterns, anticipated benefits from our acquisition of Appcito and the general growth of our business. These statements are based on current expectations and beliefs as of today, July 28, 2016. A10 disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events, or otherwise. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control that could cause actual results to differ materially. We disclaim any obligation to update these forward-looking statements as a result of future events or otherwise. For a more detailed description of these risks and uncertainties, please refer to our most recent 10-K filed on May 5. Please note that with the exception of revenue, financial measures discussed today are on a non-GAAP basis and have been adjusted to exclude certain items. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today and on the trended quarterly financial statements posted on the company’s website. We will provide our current expectations for the third quarter of 2016 on a non-GAAP basis. However, we will not make available a reconciliation of non-GAAP guidance measures to corresponding GAAP measures on a forward-looking basis due to high variability and low visibility with respect to the charges which are excluded from these non-GAAP measures. Before I turn the call over to Lee, I would like to announce that management will present at the Pacific Crest conference in Vail on August 08, and we hope to see many of you there. Now, I'd like to turn the call over to Lee for opening remarks. Lee?
Lee Chen: Thank you, Maria. I would like to thank you all for joining our second quarter 2016 financial results conference call. I'm excited to be here with you today to discuss our second quarter performance and our recently announced acquisition of Appcito with helps accelerate our A10 Harmony vision and expands our addressable markets with a cloud-native application cloud-native application delivery subscription service. We delivered a solid second quarter with record revenue and I am pleased with the good execution which continue to result in above market growth even in the mixed spending environment. Total revenue in the quarter grew 20% year-over-year to reach $57.1 million. We saw continued top line growth and disciplined approach to managing costs. We achieved an improvement of 80% year-over-year on our bottom line and our per share basis reported a net loss of $0.02 significantly better than our guided range. Given our bottom line improvement, we continue to believe we see a clear path to reaching non-GAAP profitability by the fourth quarter. Our growth this quarter was driven by the continued adoption of our ACOS Harmony architecture. The agility, flexibility, scalability and security designed into our high-end cloud-ready and threat-smart Thunder solutions are increasing our network footprint within both existing and new customers. As a result we delivered solid year-over-year growth in the U.S. Revenue growth in the Japan and Asia Pacific region were particularly strong with 66% and 40% growth respectively. Over the past several quarters we have increasingly discussed the importance of the cloud. Given our strong technology differentiation and position in the high end of the market with customers that are building public, private and hybrid clouds, we view the cloud as an opportunity to grow our business. While there is much debate on how networks of the future will be deployed, one factor is guaranteed: they will include a diverse range of deployments from traditional on-premise data centers, virtualized networks, bare-metal/white box installations, and public, private and hybrid clouds. With all of these options available the deployment combinations have grown exponentially in comparison to just a couple of years ago. We believe this is precisely why agility, flexibility, scalability and security need to be designed-in at the core and why managing multiple application services across data centers and clouds requires a holistic approach. Leveraging the strength of the ACOS platform, you have seen us introduce several targeted innovations designed to make networks more agile and secure whether they are deployed in a traditional on-premise network or a cloud environment. A few of our recent innovations have included our ACOS Harmony architecture that can automatically generate a comprehensive set of open application programming interfaces or APIs, that provide all of our Thunder appliances with the agility to easily integrate with third party cloud management software and A10’s own management solutions. Our ability to automatically generate open APIs across our Thunder solutions has been a key differentiator, resulting in several competitive wins. We brought cloud-scale performance to security with the introduction of our standalone Thunder TPS, SSLi and CFW solutions. Our Thunder TPS appliances protect one of the largest public clouds in the U.S. from massive DDoS attacks and are powering several DDoS-as-a service offerings among smaller providers. Our Thunder CFW is a software-based converged security solution for service providers, cloud providers and large enterprises that helps stop cyber attacks and web application attacks at scale. CFW became available for purchase in April and is already gaining market momentum and contributing to our revenue. In the second quarter this included one of the most visited websites in Japan deploying Thunder CFW as a datacenter firewall. I would like to highlight that this is the first customer to deploy four of our products - Thunder ADC, CGN, TPS and CFW appliances across their network. We also recently launched Thunder ADC for Bare Metal, which can be deployed on commodity off-the-shelf servers without using a hypervisor, enabling on-demand deployment. This provides large enterprises and cloud service providers the ability to streamline their datacenter operations by choosing their own bare metal hardware and still obtain the rich features and reliability of A10’s ACOS platform. We believe the investments we have made in our platform and ACOS Harmony architecture are delivering results and have contributed to our above-market growth rate over the past several quarters. Now, we are extending our A10 Harmony vision and entering a new and exciting part of the application delivery market with the addition of Appcito, which we acquired in the second quarter. Appcito is a cloud-native subscription-based service that maximizes the agility, and improves the visibility and security of enterprise applications deployed in public clouds. Appcito’s service takes an application-centric approach, provides deep visibility and analytics for application traffic, consistent policy and secure application services, and self-service integration with the DevOps processes. In 2015, Gartner named Appcito one of the “Cool Vendors in Enterprise Networking”, and we are excited to welcome Appcito to the A10 team. We believe A10 is now the only leading ADC vendor to have cloud-services controller and a cloud-native ADC offering. We are entering this market at a fairly early stage, and it will take time to grow our footprint and revenue. We expect to release new A10 Harmony-based cloud offerings that integrate Appcito technology beginning late this year. In closing, we delivered a strong second quarter and continued to further our technology vision of bringing a holistic approach to solving the application networking and security challenges of today and tomorrow. As a result, we believe A10 is uniquely positioned to drive the application networking market forward. We are continuing to make solid strides in executing our strategy and building a strong foundation for long-term growth, while at the same time, improving our bottom line and making progress toward our goal of reaching profitability by Q4. With that, I would like to turn the call over to Greg to review the details of our second quarter financial performance and third quarter guidance. Greg?
Greg Straughn: Thank you, Lee and thanks to all of you for joining us today. Second quarter revenue grew to $57.1 million, a new record for A10 and up 20% compared with $47.5 million in the prior year. Deferred revenue grew 15% year-over-year to reach a record $75.8 million. Second quarter product revenue grew 16% year-over-year to reach $38.8 million dollars, representing 68% of total revenue. This compares with $33.3 million dollars, or 70% of total revenue in the prior year second quarter. Service revenue grew 29% year-over-year to reach $18.3 million dollars, or 32% of total revenue, compared with $14.2 million dollars, or 30% of total revenue, in the second quarter of 2015. From a geographic standpoint, we delivered solid growth in the United States, Japan and AsiaPac. Second quarter revenue from the United States grew 14% year-over-year to reach $31.3 million dollars, representing 55% of total revenue. Second quarter revenue from Japan was $11.0 million dollars, or 19% of revenue, and increased 66% year-over-year. Revenue from APAC excluding Japan was up 40% year-over-year to reach $7.7 million dollars, or 14% of total revenue. The overall market in EMEA region was soft, with revenue declining 14% year-over-year. We believe this was related to concerns over the UK withdrawal from the European Union and continued weakness in the Middle East. We delivered strong growth in both of our customer verticals. We achieved enterprise revenue of $32.0 million dollars, representing a 16% increase from Q2 of last year. Service provider revenue came in at $25.2 million dollars, up 26% when compared with $20.0 million dollars in the second quarter of 2015. Our enterprise and service provider revenue split this quarter was 56% and 44% of total revenue, respectively. In the quarter, we had one U.S. service provider customer that accounted for 10% of our total revenue. As we move beyond revenue, all further metrics discussed in this call on a non-GAAP basis unless stated otherwise. We delivered second quarter total gross margin of 75.5% within our expected range of 75% to 77%. This compares with total gross margin at 76.3% in Q2 of 2015 and 76.1% in Q1 of 2016. Product gross margin was 74.8% in Q2 of 2016 down approximately 160 basis points from Q2 of 2015 and down approximately 140 basis points from the first quarter of 2016. This is primarily related to mix within our geographies and an inventory reserve for some older products. Our services gross margin came in at 77.1% an increase of roughly 100 basis points versus Q2 of 2015 and 120 basis points versus Q1 of 2016. We ended the quarter with staff of 868, I'm sorry 866 including the addition of 31 new employees from the Appcito acquisition which closed on June 23, 2016. This compares with 831 at the end of Q1. Second quarter non-GAAP operating expenses were $45 million or 78.8% of revenue compared with $44.9 million dollars or 83.5% of revenue in the prior quarter as we closely manage our expenses in support of our stated plan to achieve non-GAAP profitability by the end of this year. Second quarter non-GAAP operating loss was approximately $1.9 million, a significant improvement from the loss of $4 million in the first quarter of 2016. Our non-GAAP net loss in the second quarter was $1.1 million or $0.2 per share meeting our guided range of a loss of $0.04 to $0.06 per share. Q2's net loss represents an 80% improvement when compared with a loss of $5.3 million dollars or $0.9 per share in the second quarter of 2015. Basic and diluted weighted shares used for computing EPS for the second quarter were approximately 64.9 million shares. Moving to the balance sheet, at June 30, 2016 we had $113.7 million in total cash and marketable securities, a $6.2 million increase from the end of March and up $17.5 million compared with June 30, 2015. Our cast balance reflects $8.8 million in cash generated from operations and $4.4 million dollars used this quarter for the Appcito acquisition. Further on the topic of Appcito, the total purchase consideration was $6.5 million including stock and cash holdbacks. Additionally, I'd like to reiterate that this acquisition does not change our previous stated goal to become non-GAAP operating profit by the end of this year. Back to balance sheet, average days sales outstanding were 65 days, down from 85 days in the prior quarter, a 20-day improvement. Moving on to our outlook, we currently expect third quarter revenue to be in the range of $58 million to $60 million. At the midpoint this represents 16% year-over-year revenue growth and 19% growth for the nine-month period. We expect gross margin to remain in the 75% to 77% range and operating expenses to be between $45 million and $46 million dollars which includes a full quarter of expenses from the addition of Appcito. We expect our non-GAAP bottom line results to be between breakeven and a net loss of $0.02 per share using approximately 66 million shares on a basic and diluted basis. For modeling purposes, I'd like to note that in the event non-GAAP operating income is positive in Q4 the non-GAAP fully diluted share count would be approximately 73 million shares. With that, I'd like to open up the call to your questions. Operator?
Operator: [Operator Instructions] The first question comes from Rod Hall with JPMorgan. Please go ahead.
Ashwin Kesireddy: Hi, thanks for taking my question. This is Ashwin on behalf of Rod. One clarification and one question, can you quantify the impact of inventory reserve on the product gross margin during the quarter?
Greg Straughn: It was, it made up a little less than half of the delta from quarter-to-quarter.
Ashwin Kesireddy: Okay great. And then my question is on your comment related to weakness us in Europe, can you give us a sense of how your business, first of all how your business has played within enterprise and service provider in Europe today and in which part of the business did you see more pressure?
Greg Straughn: We tend not to breakdown our regional results between service provider and enterprise for discussion, but I think that the weaknesses and slowdowns, were kind of a cross vertical that was more related to macro events than anything specific to a vertical?
Ashwin Kesireddy: Okay, great and finally, this will be my last question, could you comment on your win rates in the marketplace, any significant changes there?
Greg Straughn: No not really. We've often talked about our win rates being north of 70% and that continued to be the case this quarter.
Ashwin Kesireddy: Okay, great. Thank you.
Operator: Thank you. The next question comes from Catharine Trebnick with Dougherty & Company. Please go ahead. Catherine? Your line is open.
Unidentified Analyst: Sorry on mute, hi guys. Good afternoon. This is Jack on for Catharine. I have one quick question, I know you talked about the cloud strategy with the Appcito acquisition, can you give us or provide some color on how this might benefit you in infrastructure as a service deployment such as AWS Azure?
Lee Chen: Yes, what we - now with the acquisition of Appcito we now offer education-centric call ADC as a service for both public cloud, for both Azure and AWS. So they really expand A10's product footprint explains where the markets which we don’t had access before.
Unidentified Analyst: Great. And one last clean up question for Greg, can you give us the percent of revenue the total from EMEA?
Greg Straughn: Let's see, for the quarter I think it is approximately $5.9 million for EMEA.
Unidentified Analyst: Okay. Got it, thank you.
Operator: The next question comes from [indiscernible] with Bank of America/Merrill Lynch. Please go ahead.
Unidentified Analyst: Hey guys. Thanks for taking my questions. It's [Daryu] on for Tau. I had a question regarding enterprise and deferred revenues, both decelerated pretty significantly year-over-year. Enterprise is also down quarter-over-quarter. I am wondering what is really driving the weakness here? Are you seeing some impacts in uses of cloud, is there a spending pause maybe due to SDN or was there also maybe a spending pause around the testing of new products that you guys are rolling out are now in the market?
Greg Straughn: Let me have Ray talk about it from the sales traction perspective and we will come back to the deferred revenue piece later, but just in terms of general enterprise spending me breaking up.
Ray Smets: Yes, so [Daryu] this is Ray. How you are doing? So from an enterprise perspective we actually saw good performance year-over-year and quarter-over-quarter. So we are actually pretty satisfied with that approach. I would say one of the strongest headlines in the quarter is really strong performance in our run rate business which is primarily made up by enterprise. So we have invested in a channel program. We call it Affinity channel and it is delivering, I think very, very nicely to our strategy to growth. So we saw some good stability there.
Greg Straughn: Yes and just to clarify the enterprise revenue we saw in the quarter was slightly down from Q1 which was a record enterprise quarter for us, but it was pretty high growth year-over-year and the deferred revenue side is primarily related to the timing of maintenance renewals. So we will see it move up and down from quarter-to-quarter, but is this – that does look more of a service metric versus total volume spending.
Unidentified Analyst: Got it and thanks and last quarter you mentioned financial services vertical, you are gaining some traction there, did you see that continue this quarter?
Greg Straughn: Yes, there is no real change there. I mean we continue to approach that part of the market. We continue to land and extend with existing customers. So that part of the enterprise market continues to go exactly in the direction we'd like it to go. So I think just kind of the punctuation there, just good solid execution of enterprise.
Unidentified Analyst: Great, thanks. And then question on Appcito, if I’ve heard you correctly, I think you said that you purchased for $6.5 million cash and stock. I think its last series with the series there is about $7.5 million wondering what was sort of – what sort of traction is it gaining in the market, how sort of near to completion of products that has, I think in an announcement you guys said that you were coming to market products sometime in the summer of 2017, so when do you expect this solutions from these guys to sort of ramp and have an impact?
Greg Straughn: When we looked at Appcito, the key things that we saw were some top, top quality people and a very solid product that would integrate well with what we do rather than looking at from a customer traction perspective. And so we will – we’ve designed that product in some way, shape, or form by the end of this year. And it is likely to be subscription product, so it moves slowly into revenue. We're not expecting there to be any material revenue contribution in 2016. But we think we've got our hands on some great people and great technology here.
Unidentified Analyst: Great, thanks a lot. And so one last quick question from me, the housekeeping was, well I missed the guidance, what was the revenue guidance that you guys provide for next quarter?
Greg Straughn: $58 million to $60 million.
Unidentified Analyst: Great, thanks a lot. Congrats on the quarter.
Operator: There next question comes from James Fawcett with Morgan Stanley. Please go ahead.
James Fawcett : Thanks very much. A couple of questions, first as you plan to, just following-up on the Appcito question and as you plan to roll that out, as you said not expecting revenue to be meaningful this year, but have they gotten some early key customer trials and that kind of thing that you can convert into revenue? I'm just kind of trying to build on the question around where they're at in product development and bringing it to market?
Lee Chen: Yes, as Greg said earlier, we acquired Appcito for people and technology. They do have a – Appcito do have a probably a dozen up customers, but you see your subscription base, so the revenue is very small, but again we do plan to integrate with A10's Harmony architecture and doing a product out in Q4 this year.
James Fawcett: Okay, okay great. And then just on the strength of Japan and Asia-Pac, how much of that – how much benefit was there from the strengthening and if I ask the question both in terms of translation benefit, but also encouraging that or moves by customers to take advantage of the strong end to go ahead and do purchases in the coming quarter? And I guess, I asked the latter part to get a sense for what you think that the likelihood is that we'll continue to see strength out of Japan and Asia-Pac?
Greg Straughn: So if you look at the – on the revenue side, if you look at the Yen change year-over-year it added about $900,000 of revenue to this quarter versus what we would have seen it is the same amount of Yen volume a year ago.
Ray Smets: And James, this is Ray. I'll take the second half. We do business in Japan in Japanese Yen. So the fluctuation is somewhat mitigated in terms of customer buying behavior. What we did see was just a really good strong execution. We're really satisfied with the execution in Japan. We continue to have very strong engagements with some of the largest service providers across Japan. But part of the our strategy in addition to land and expand there is also to get access to a broader part of that market, the enterprise market, and we had some good success there as well. So overall in Japan the fluctuation in currency really didn't have a big impact on buying behavior there.
Lee Chen: If you look at the past three quarters, even it was a Japanese Yen basis, we have three strong quarters.
James Fawcett : Yes.
Lee Chen: Especially with the new product, CFW and TPS.
James Fawcett: And going back to the level of engagement there then, do you feel like that there's a pipeline that should persist there, and that we should continue to see good response and results out of Japan or is it still likely to remain a bit volatile like we’ve seen in the past?
Lee Chen: So the, for the current quarter we continue to see a strong pipeline in Japan.
James Fawcett: Alright great and then just one more question from me is, how much of the growth that you are seeing in the June quarter and as you look out to the rest of this year is coming from new products versus how much is the core ADC products?
Greg Straughn: Well, I think we’re seeing growth across the product line and so we are seeing growth in absolute dollars and in the ADC side clearly we are seeing the higher growth rate in the new products and the security portfolios. So, I mean we are actually pleased with the mix of business that we are getting and that’s why we are continuing to bring new products, but also continued to expand our ADC footprint at the same time. We think both of those are viable for us. I mean in ADC itself we have seen several quarters of growth above what the publically reported market rates for that market are.
James Fawcett: All right, great and thank you very much.
Operator: The next question comes from Alex Kurtz with Pacific Crest. Please go ahead.
Alex Kurtz: Yes, thanks guys for taking a couple of questions here. Can you just comment on what kind of ASP changes you saw on the enterprise market this quarter and just overall pricing dynamics in the U.S. commercial market and then also what demand looked like through the first month of the quarter that would be helpful?
Greg Straughn: Alex, this is Greg, welcome.
Alex Kurtz: Thank you.
Greg Straughn: Our ASP kind of moves around a couple $1000 plus or minus per quarter, but its generally going to be in the 25, 27 range kind of across all products. We’ve not really seen much in the way of volatility on that.
Alex Kurtz: Okay and then demand in the U.S. both enterprise and service provider through the first month there?
Greg Straughn: I have to check that, we'll come back to that, but we actually, we don’t talk about demand within quarters, varies by month. I mean out pipeline coming into the quarter was strong and as we gave our guidance, that's kind of our best indicator, how we think the total quarter will play out, but and we find months are particularly relevant to how quarters end. Right, we are checking on ASP here, let us get back to you on the ASP question. It is possible I misstated, but we’ll get back to you separately.
Alex Kurtz: Okay and then, yes I just trying to understand the sort of around sales cycle that you saw through the first month and whether or not you saw any changes excluding what’s going on in the UK?
Greg Straughn: All right, I think actually we have clarified it. The one thing I will say about ASPs, because we sell such a broad spectrum of product, you can't read a whole lot into the ASP because it doesn’t really tell a story, because we can be selling $5 million transaction with few products and a couple, in the $20,000 transaction so, its not the most relevant indicator we have out there.
Alex Kurtz: Okay, and just last question for me, just net new customer ads, that's something that you guys, look to as a key indicator of the enterprise business or you are more focused on larger strategic transactions in the U.S market?
Greg Straughn: I think the larger strategic ones are something that are very important to our business. We do look at our new customer adds and our new customers adds for the recent completed quarter, we are very much within our typical ranges.
Alex Kurtz: Okay, thank you.
Operator: The next question comes from Mark Kelleher with D.A. Davidson. Please go ahead.
Mark Kelleher: Great, thanks for taking the questions. Congratulations on a strong quarter. Just a couple of numbers questions, on the inventory you seemed to take a step down. Is there something driving that or should that – that seemed to be a nice contributor to cash we assume that that’s unusual and we’re going to spend cash to build that back up again.
Greg Straughn: I don’t think it was unusual. It’s actually been, it's actually part of some several things that we have been intentionally to drive that down, having to do with our supply chain operations and how we design equipment upfront, reusability of components of our forecasting products has gotten better. Some of our lead times have tightened up. So, it's basically something that we’ve been putting through and trying to improve. Now we are in a place where to go or transitioning from one product set to another and so there is a possibly of next couple of quarters that it won't be quite a continuous line, but it is an area where we thought we can improve our working capital position and have successfully done so I believe.
Mark Kelleher: Okay, and then just one more on Appcito, you've got 31 people coming over, very little revenue, so that should have a dilutive effect. Can you kind of size the dilution to Q3 and Q4?
Greg Straughn: Yes, I mean, the key thing there is that as we mentioned we do not expect this to change our goal of profitability for the year and in fact, if you look at our guided range for this particular, the quarter we're in, we did include breakeven as one end of the range for the results. And so, what we see with Appcito is that it is more of a substitution of hiring for people that we would have been bringing on board as new A10 employees over the balance of this year. So while there is no revenue and technically feel that it is just because those people and apply them against revenue with that diluted that when you roll them into our total business it doesn't look that way. And then as a reminder of the gross margin that we will see on Appcito product as it begins to sell will be very accretive to our current gross margins given that's a pure software product.
Mark Kelleher: Okay, great. Thank you very much.
Greg Straughn: Thanks Mark.
Operator: The next question comes from Michael Leonard with Oppenheimer. Please go ahead.
Michael Leonard: Hey guys, thanks for taking my question. I am for Ittai. My first question, how do I think about the growth in terms of your respective solutions? Is there growth in the ADC or is the growth primarily coming from DDoS, is the CFW, is it at a point where it is meaningful, it has been a couple quarters now or is this or like last year is the growth primarily coming in the DDoS plans, how do I think about, kind of, no you don’t break them out, but just roughly how do you think about that?
Greg Straughn: Yes you know it is, when you look at growth as I mentioned we are better, we are seeing it across all of our product lines. Our ADC growth rate continues to be about what industry sources reported overall ADC market growth. So we're seeing growth in that product set. We're seeing growth in our security portfolio as well. And I think Lee mentioned that we're seeing some good wins in the CFW product and so even though that's only been in the market available for sale since well really this quarter back April we're already seeing good traction on that. TPS has been a strong product for us all along and we've had SSLi wins going back to time before we even had an SSLi product. And so we're very comfortable with the trajectories of each of these and from a growth rate, obviously we are seeing the higher growth rate in the security portfolio in absolute dollars we're seeing it across geographies and across products. And then also as Lee mentioned, we kind of had our first customer who now has bought four of A10 standalone products and that is something that we would expect to continue to happen to other customers as well as expand strategy continues to be successfully executed across the globe.
Michael Leonard: Okay and the CFW the traction and the interest is clear there, but has there been recognizable revenue yet or is it really just going to [indiscernible]?
Greg Straughn: There was easily the 10 really just another was there was there was revenue, there is recognized revenue in the recently completed quarter, yes.
Michael Leonard: Okay [indiscernible], EMEA was 10% this quarter, would it be fair to figure the UK as maybe low single digits of your overall revenue, I know you don’t break it out just given EMEA was 10% is that a fair estimate for the [indiscernible]?
Greg Straughn: Yes, we are not breaking it out and say you've called me out too far up on that.
Michael Leonard: Okay, that's fine, just given the weakness it is important. Last question more of a housekeeping, sorry if I missed this. Did you guys give a new customer addition number or did you just read, decided to kind of start giving out on a quarterly basis and may more of a milestone type number at this point?
Greg Straughn: Yes, I think it is more of a milestone type number, but this quarter never was fairly consistent with them as we have reported in the past.
Michael Leonard: For the quarterly interest.
Greg Straughn: Yes, the increase for the quarter.
Michael Leonard: Okay, all right, thank you for the questions and good luck.
Greg Straughn: Welcome.
Operator: Our last question comes from Ryan Flanagan with Buckingham Research. Please go ahead.
Ryan Flanagan: Hey guys, thanks for taking my questions, just three short sort of housekeeping ones here and I am not sure you may have answered these already. The DSOs ticking down from 85 to 65 is that in effect better collections or are you guys getting a little bit tighter with your payment terms or something else at play there? Secondarily, I know you are not breaking out security on a percentage basis, but directionally can you say if it was up or down short of a quarter and year-over-year? And then the third piece was, you had a little bit of benefit here to interest income and other of about $1 million. I was wondering if you can sort of tell us where that came from? It looks like that's dropping the bottom line. Thanks guys.
Greg Straughn: I'll try to remember all three of them. Som on the DSO question primarily related to better collections. There's some effect in the, we've started, as we've redone our partner program we're kind of getting a higher caliber of partners in the markets who do tend to pay more promptly on average, but our collection's team has just done a great job and is actually [indiscernible] it was a very strong quarter for billing so we saw both sides of the equation being very strong. I remember the third quarter that you have had to do with the $1 million and other income and we are seeing income from our investment portfolio, but the biggest part of that was conversion on the exchange rate difference in Japan. So I think that was about 850 of that was Yen conversion. And I am sorry, what was the middle question you had there?
Ryan Flanagan: Security, that was up year-over-year and quarter-over-quarter.
Greg Straughn: Yes, security was up year-over-year and it was up quarter-over-quarter.
Ryan Flanagan: Great, thanks guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lee Chen for any closing remarks.
Lee Chen: Thank you, all of our shareholders for joining us today and for your support. Thank you and good day.